Operator: Please go ahead, sir. 
David Williams: Thank you and good day, everyone. My name is David Williams and I am Vice President, General Counsel and Chief Compliance Officer at Innospec. Thanks for joining our First Quarter 2012 Financial Results Conference Call. Today’s call is being recorded. As you know, late yesterday, we reported our financial results for the quarter ended March 31, 2011. The press release is posted on the company’s website, www.innospecinc.com. An audio webcast of the call and the slide presentation on the results are also now available and will be archived on the website.
 Before we start I would like to remind everybody that certain comments made during this call might be characterized as forward-looking statements under the Private Securities Litigation Reform Act of 1995. Generally speaking, any comments regarding management’s beliefs, expectations, targets or other predictions of the future are forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by those forward-looking statements. These risks and uncertainties are detailed in Innospec’s most recent 10-K report as well as other filings we have with the SEC. We refer you to the SEC’s website or our site for these and other documents.
 In our discussions today we have also included some non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release and in the presentation that follows, a copy of which is available on the Innospec website. With us today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer.
 And with that I will turn it over to you Patrick. 
Patrick Williams: Thank you, David, and welcome everyone to Innospec’s first quarter 2012 conference call. We have started off the year with good momentum. We had strong contributions across all our business lines and this is particularly gratifying in the light of the continued unsettled economic conditions and geopolitical issues around the world.
 Fuel specialties continues to deliver sales growth in excess of that seen in our underlying markets. This is particularly noteworthy considering the intense competitive pressures and the volatility of raw material pricing we face in this area. It is also notable that we continue to deliver gross margins at the 30% level in our fuel specialties business, an important recognition of the quality of the products and services Innospec brings to the market. At the same time, we continue to face and unsettled market in the polymers portions of our active chemicals segment. But I am pleased to see the near term rebound in our core personal care and fragrance ingredients businesses which we had predicted in our last quarterly call.
 We also recorded very strong sales in margin performance in our octane additives segment. Ian Cleminson will discuss our financial performance in detail, but I did want to point out that we were also very pleased with results of our cash management and cost containment strategy, which has enabled us to sustain a strong and liquid balance sheet and to position Innospec to invest in its businesses strategically as well as in terms of external growth opportunities.
 I will now turn the call over to Ian and then return with some comments about our business prospects and strategies before taking your questions. 
Ian Cleminson: Thanks, Patrick. Turning to Slide 6 in the presentation. The company's total revenues for the first quarter were $208 million, an 8% increase from $185.3 million a year ago. The overall gross margin rose 3.4 percentage point from last year to 31.9%, driven by the great proportion of sales from our higher margin octane additives segment and richer pricing and sales mix in our fuel specialty business.
 Our GAAP earnings increased by 17% from last year’s first quarter to $1.03 per share. On an adjusted basis our earnings per diluted share was $1 compared to $0.74 a year ago, which represents a 35% increase. EBITDA for the quarter was $35.2 million, a 5% increase from the $33.5 million reported a year ago. And operating income for the quarter was $31.6 million, a 29% increase from the year-ago period.
 Moving on to Slide 7. Revenues in fuel specialties rose 3% in the first quarter to $130.7 million. The increase was primarily driven by a richer sales mix and improved pricing of 7%, offset by 3% lower volumes and adverse currency impact of 1%. By region, revenues rose 4% in the Americas, 7% in EMEA and 20% in Asia Pacific, and were down 52% in our 52% in our Avtel business, as a result of the timing of shipments. Excluding our Avtel business, underlying sales growth in fuel specialties was 7%. Margins in this segment increased slightly from last year and sequentially continued at the 30% level. Gross profit dollars increased by $2.3 million to $38.7 million from a year ago.
 Despite the improvements in gross margin, fuel specialties operating income from the quarter, $21.7 million, was down 3% from a year ago reflecting $2.9 million higher SAR expenses, primarily due to the benefit from the release last year of an accrual no longer deemed necessary.
 Turning to Slide 8. Revenues in the first quarter run at par with the year ago at $46.5 million. A stronger pricing and improved sales mix of 6% was offset by 4% lower volumes and currency effects reduced reported sales by 2%. By region in active chemicals, revenues increased by 16% in the Americas to a new record, and by 17% in Asia Pacific with a decline of 16% in EMEA driven by the polymers business. Asia Pacific growth was driven by improved volumes across the personal care and fragrance ingredients markets. We had expected a near-term rebound in the segments personal care and fragrance ingredients business which happened during the first quarter.
 Excluding sales in our polymers business, underlying sales growth was 9% in this segment. Gross margins were down slightly from a strong comparative last year, primarily due to softer demand in the polymers market, which rebounded sharply from the fourth quarter as we returned to more normal activity levels. Active chemicals operating income for the quarter was $6 million, down from the $7.6 million in last year’s first quarter but up sharply from $0.9 million in the fourth quarter last year, primarily due to the expected recovery in both sale and margins.
 Moving on to Slide 9. Our octane additives business started the year strongly with $23.6 million in revenues, more than double the year ago quarter primarily as a result of increased demand. The segment’s gross margin of 60.2% was 20 percentage points higher than last year’s 40.2% as we sell through lower cost inventory. Gross profit of $14.2 million was triple last year’s first quarter. The segment’s operating income was $12.4 million, up sharply from $2.2 million in last year’s first quarter which included $1 million pre-tax of several civil complaint-related legal and professional expenses. While this segment significantly exceeded our expectations in the first quarter, there is no change in the current year and longer-term outlook for a gradual decline in the TEL business.
 Turning to Slide 10. Corporate costs for the quarter were $8.6 million compared with $7.5 million a year ago. The increase is primarily due to increased performance related share-based compensation accruals. Our effective tax rate for the quarter was 23.1% compared to 24% a year ago. Our tax rate may well come down further during the course of the year.
 Moving on to Slide 11. Cash flow from operations was strong again in the first quarter as we generated $18 million in operating cash flow, partially offset by $2.5 million spent on implementation of the new ERP system and $1.8 million spent on capital projects. There have been no share repurchases to date in 2012. As of March 31, we have cash and cash equivalents of $96 million, which exceeded our total debt of $36 million by $60 million.
 And now I will turn it back over to Patrick for some concluding comments. 
Patrick Williams: Thanks, Ian. In summary, we are pleased with our performance in the first quarter. While we feel good about our strong financial position and the strength and resilience of our business model, we look forward to the remainder of the year with cautious optimism particularly in light of the unpredictability of the world economics including the geopolitical issues and we remain vigilant in this respect. At the same time we are pleased that we are able to focus our time and efforts on a core strategy at the company. We have cleaned up multiple legacy items that have complicated our reporting, taken up an undue amount of management time, and to some extent cluttered our intrinsic value.
 We are well on our way to normalizing our business which will magnify our value proposition and the growth opportunities we see for the company. We should also recognize that during the quarter we announced the planned retirement of Dr. Bob Bew, who has served as Chairman over the last 13 years. And we welcomed Milton 'Bud' Blackmore to this position. Having been on the board for 2 years, Bud will take up his responsibility as the Chairman at our annual meeting in May. His extensive experience in the oil refining and fuel marketing industry has already made an important contribution to the board’s discussions and I am sure he will be invaluable to us as we take Innospec into its next growth stage.
 We will be adding a further board member in due course to bring the board back to full strength. Looking ahead, we will continue to invest and push for innovation in research and development and maintain active acquisition policy, mindful that it’s most important that we make the right acquisitions at fair valuations in order to maintain the rate of growth we would like to see, particularly in the oilfield specialties and personal care areas.
 Finally, we continue to be pleased with the strong interest in Innospec shown by an increasing number of investors around the globe. We intend to maintain open and transparent communications and an active investor relations strategy to encourage this interest.
 Now I will turn the call over to the operator and he now will take any of your questions. 
Operator: [Operator Instructions] We’ll now take our first question of Christopher Butler of Sidoti & Co. 
Christopher Butler: If we are looking at your fuel specialties business, you had mentioned that you had some shipments that got pushed. If not for that, do you think your gross margin in this segment would have been up over that 30% threshold for the quarter and how much of a boost do we look at there for the second quarter? 
Patrick Williams: Yes, I think, Chris, we probably could have gotten another percentage point boost. It was more based around the aviation gasoline, Avtel. And it’s just a timing of shipments and is should be pushed into Q2. 
Christopher Butler: And looking at the active chemicals with the weakness that you see in polymers knowing that some of the plastic producers saw a step-down in demand out of Europe in the third quarter of last quarter of last year and no real recovery, is that the best way to think of polymers as this year progresses that it’s kind of flat-lining from the step-down change at the end of last year. 
Patrick Williams: Yes. If you look at the quarter Q1 on Q1, we had very strong polymer sales in Q1 and Q2 2011. We feel like we hit the bottom in Q4 of 2011 and we started to see an increase in polymer sales in Q1 of this year. So we think we have definitely hit the bottom, Chris, and we are starting to work our way back up. 
Christopher Butler: And you had mentioned that on the personal care products and the aroma chemicals that you saw improvement. Are you back up to what you would consider full speed on that business? Was there any lingering difficulties from the maintenance outages in the fourth quarter? 
Patrick Williams: No. We are back at the full speed. 
Christopher Butler: And just finally before I turn it over to others, octane additives, fantastic quarter. You seemed cautious with the outlook. It’s reasonable, but looking to the second quarter, is there any expectation that the solid demand might continue at least into that short-term horizon. 
Patrick Williams: I think we will have a fairly strong second quarter outlook for Q3 and Q4. We just wouldn’t want to speculate at this time. 
Operator: Our next question comes from Chris Shaw of Monness, Crespi. 
Christopher Shaw: Just a little more around the Avtel. I am guessing that’s around $40 million of your business. Do you expect growth in that business this year? I mean it sounds like it’s just a function of timing but I just want to make sure that expectations for the full year are still sort of what they were in the past. 
Patrick Williams: Yes. So little less than $40 million. I won't give the exact number but it’s probably a business that’s fairly flat, Chris. If anything, you might get 0.5% or 1% growth on an annualized basis but otherwise pretty flat growth. It was strictly just timing of shipments. 
Christopher Shaw: Okay. And then any update on your efforts in the emerging markets. I know you have done - opened some offices in Brazil and Russia. Is there anything new to talk about in those areas? 
Patrick Williams: Yes, I think that the strategy we put forth in really, in the operational aspects of putting offices in South America and Russia have benefits us. And we are seeing some very positive signs not only in South America but also Russia moving forward. As well as, I think the general economies in Asia Pacific and Russia are holding up fairly well right now as well. 
Christopher Shaw: Are any of those new markets showing up to the top line at this point? Will we notice it as adding to growth at this point? 
Patrick Williams: Yes. All 3 of the markets we just discussed. 
Christopher Shaw: Okay. And then just a little more on - I know, Chris was getting at this as well, but just outside of polymers, the other businesses. There is nothing in the first quarter that’s seasonal - that makes it seasonally strong. This is kind of the, guess for non-polymers you could at least expect this kind of performance for the rest of the year? 
Patrick Williams: No. I think that the positive is that we had a extremely warm winter and we still posted very positive results in fuel specialties. We see that as a positive sign. Typically, we do have some seasonality to our business and Q1 has a little bump up from cold-flow products but we had extremely warm winter. There is nothing in there that’s one-off and we still showed positive improvement. We are very happy and pleased moving forward but very cautious. 
Christopher Shaw: In active there is nothing really seasonal for the first quarter? 
Patrick Williams: Nothing. Nothing at all. 
Operator: [Operator Instructions] We will take our next question of Gregg Hillman of First Wilshire Securities Management. 
Gregg Hillman: What is the end use for the polymers? 
Patrick Williams: It goes in the car manufacturing business, it goes into industrial applications and it goes in the housing market. 
Gregg Hillman: Okay. And then just your dependence on Europe. Ian, what percentage of your sales are in Europe overall, for the entire company? 
Ian Cleminson: Yes, Gregg. We don’t actually disclose. But broadly, if you look at our business you will be looking at about 40% in EMEA, about 40% in Americas and around about 20% in Asia Pacific. 
Gregg Hillman: Okay. So if there was a recession in Europe, it would hurt you? 
Patrick Williams: Well, I think it’s ironic you can ask there is a recession in Europe because I would probably say if you ask a lot of people there is already a recession in Europe. So I think we have watched a lot of chemical companies in general have had a fairly rough quarter in Europe. Europe has held up pretty steady for us because if you look at diesel demand in Europe, and we are primary diesel in the fuel specialty side of business, we have held up very well. And so we still feel really confident moving forward that Europe is going to hold up fairly well for us. 
Ian Cleminson: Yes, Gregg, and if you listen to some of the things we said earlier on the call, you will have seen our fuel specialties business grew by 7% in EMEA. And it was only the polymers business in the active chemicals sector which is predominantly European business has struggled in Europe. So we are very pleased with the efforts the guys in the business are making. 
Gregg Hillman: Okay. In all the businesses? 
Patrick Williams: Yes. 
Gregg Hillman: In Europe, okay. 
Operator: Our next question is a follow-up question, Christopher Butler of Sidoti. 
Christopher Butler: Your SG&A in the quarter went up fairly significant year-over-year, you talked about some incentives and then we have got the new facilities that you have discussed. How should we think of SG&A for the full year? 
Ian Cleminson: Yes, Chris, this is Ian. We have taken a slightly higher charges for some personal related issues, share-based compensation and the like. And also year-over-year we have - we took a large credit of $3.7 million in Q1 2011 which didn’t recur this time around. Well, for the full year, if you are looking in at 130 to 140 range for the SAR number, and that includes our R&D expenses as well. That’s sort of a range which we pretty much running through the full year. 
Christopher Butler: And in the quarter you didn’t repurchase any shares. Could you talk to that decision and how that may be touching on your acquisition strategy? 
Patrick Williams: Yes, Chris. It’s very similar to 2011. We really ascertain the market, looked at what we had in the portfolio from an acquisition standpoint. And if you recall when we had our conference calls in 2011 we said if we don’t make an acquisition or don’t have something further in the pipeline then we would do some form of either share buybacks or dividend. So we did a large share buyback in 2011. We are still in that balance mode right now. We do have some acquisitions that are in the pipeline that we are looking at. And again we want to balance buybacks and acquisitions and I think you should see something out of us forthcoming. 
Operator: [Operator Instructions] We have another follow-up question from Chris Shaw of Monness, Crespi. 
Christopher Shaw: I guess so much to ask about the cash and the potential for any bolt-on M&A and if not any M&A upcoming, what the alternative use of the cash going back to the share repurchase or you could possibly dividend. Could you just address those issues please? 
Patrick Williams: It’s something we will discuss in board meetings. There is no doubt we are not going to sit on a lot of cash. Just to sit on cash I would rather give it back to the shareholders if that’s the case. And so as we look at propositions and evaluations of the acquisitions that we have in the pipeline, we will see if can balance both as we said earlier. But you are right, we will look at doing a buyback and/or dividend. We could probably do both if we wanted to but that’s something that will be discussed at the board meetings when we talk about our further strategy for cash management. 
Christopher Shaw: What are the potential acquisition targets or how you are finding multiples right now? Are they getting any more reasonable, are the deals can get done as these levels or do you think it’s going to be difficult? 
Patrick Williams: I think stuff that’s in the public sector, we can all look at all the date out there. There are still fairly high multiples. Things that are below the public sector, either private or below a certain dollar value, we are starting to see a little more fair value in multiples. The things are still a little high at this point and there is a lot of money on the sidelines. And I think we just have to pick the right company at a fair multiple that we know that we can put into our global strategy and grow the business. 
Operator: We do have another follow-up question of Gregg Hillman of First Wilshire Securities Management. 
Gregg Hillman: Yes, I was wondering if you would be able to improve any of your processes at the plant significantly to reduce costs with a totally novel way of making a substance. 
Patrick Williams: One thing we do, Gregg, is we are constantly working on manufacturing efficiencies. And we put a lot of effort in that. I think you have seen the improvement from Q - from actually 2011 to 2012. So that’s a concept. We are always looking at novel ideas, way to increase manufacturing without having to add volume. Increased volume is what we have on the ground versus pretty more assets on the ground. So that’s a process that we are always looking at. That’s something that our manufacturing people are constantly paying attention to. 
Operator: [Operator Instructions] If there are no further questions in the queue this will conclude today's Q&A session. I would now like to turn the call back to Mr. Williams for any closing remarks. Please go ahead. 
Patrick Williams: Thank you, all for joining us today and thanks to all our shareholders and Innospec employees for your interest and support. If you have any further questions about Innospec, our discussion here today, please give any of us a call. In the meantime we look forward to being with you again next quarter. Have a great day.